Operator: Good day and welcome to the Oxford Industries Incorporated Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Ms. Anne Shoemaker. Please go ahead, ma'am.
Anne Shoemaker: Thank you, Shannon, and good afternoon everyone. Before we begin, I would like to remind participants certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in our press release issued earlier today, and in documents filed by us with the SEC, including the risk factors contained in our fiscal 2014 Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of GAAP financial measures to certain historical non-GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our web site at oxfordinc.com. And now, I'd like to introduce today's call participants. With me today are Tom Chubb, CEO and President; Scott Grassmyer, CFO; Terry Pillow, CEO of Tommy Bahama; and Doug Wood, President of Tommy Bahama. Thank you for your attention; and now I'd like to turn the call over to Tom Chubb.
Thomas Chubb: Good afternoon and thank you for joining us. We have a lot to share with you this afternoon. First, I want to highlight and underscore the very strong results that we were able to deliver for the fourth quarter of fiscal 2014 driven by our two principle brands, Tommy Bahama and Lilly Pulitzer. In both Tommy Bahama and Lilly Pulitzer, we believe we have cultivated a deep and powerful emotional connection with our customers. We renew and reinforced that on with the consumer by offering fantastic on brand product, operating beautiful stores and websites and supporting it all with a great communication strategy. As you all know, the marketplace during the fourth quarter of 2014 was highly promotional with many observers defining a 30% to 40% discount as the table stakes needed to do business. We chose not to play that game. Instead, we stay focused on our full price strategy and driving business through the power of our brands rather than the depth of our discounts. And here is the report card, it were at Tommy and Lilly we delivered comp store sales increases of 8% and 9% respectively which drove a 21% year-over-year increase in fourth quarter earnings per share. Best of all, we did not sacrifice gross margin to achieve these results. We believe our fourth quarter puts an exclamation point on the strength of our brands, the power of our strategies and the ability of our management team to execute. And for the full year, Oxford reported solid increases on the top and bottom lines. We believe that with brands like Tommy Bahama and Lilly Pulitzer in our portfolio, we are uniquely positioned for success. Looking forward to 2015, we announced today a strategic decision to sell the Ben Sherman business. During 2013, this business was still in decline at both the top and bottom lines, but importantly a strengthened management team laid the foundation for a turnaround and they build on that foundation in 2014 by delivering top line growth in all channels, strong comp store sales growth and a significant reduction in the operating loss. Ben Sherman left the year with lots of momentum and we believe it will now be an attractive acquisition target. We are confident that we can find a buyer that will help the Ben Sherman business and team reach its full potential. Earlier today, we also issued our guidance for fiscal 2015 in which we have excluded Ben Sherman. We expect to deliver solid top line growth at Tommy Bahama and Lilly Pulitzer in the upcoming year and at the same time continue to build for future growth. I’d like to take a moment to mention that coming up in April is Lilly Pulitzer’s amazing collaboration with Target. Target will feature a limited time one short delivery of over 250 Lilly products in 15 unique prints in all doors and on their e-commerce site. The media campaign is beginning as we speak and we believe this collaboration will give us tremendous brand exposure across the country and will generate a great deal of excitement around this wonderful brand. While we don’t believe this will have a meaningful impact on our financial results in fiscal 2015, we believe the national buzz created by the Target collaboration will generate brand awareness among new consumers and geographies that will provide growth opportunities in 2016 and beyond. In conclusion, I would like to emphasize that our focus has been and will always be to deliver long-term growth and profitability to our shareholders. It is clear to me that both Tommy and Lilly are well positioned to do just that and Lanier Clothes while facing some challenges to its top line in 2015 as a solidly profitable business. I’d like to now turn the call over to Terry Pillow to give more insights on Tommy Bahama. Terry?
Terry Pillow: Thanks, Tom. As we all know, the holiday season continued to challenge retailers. This year, the West Coast port labor issue added to the challenge. I have to say that I couldn’t be more pleased with how Tommy Bahama performed in the fourth quarter with a 11% increases on both the top and bottom line. And as Tom mentioned, we set with our full price strategy and expanded our gross margin. Much of our success in the fourth quarter was due to solid comp store sales increase of 8%, the strength of our holiday resort product and marketing campaigns, and the strength of our new stores added in 2014. The tip of the hat certainly goes to our distribution and ops team who did a superb job juggling the timing of shipments and making judicious decisions regarding the use of air freight. We navigated the port situation with minimal disruptions in the flow of our goods to both our own stores and to our wholesale partners. Turning to fiscal 2015, we have great plans for top line growth and are off to good strong start in the first quarter today. We expect to open eight to 10 new stores in 2015 including Waikiki. Our business in Australia has continued to generate strength on both top and bottom line, and we plan to add our ninth store there in 2015. And Japan will continue to be a focus for growth and we strongly believe that this will prove to be a great market for Tommy Bahama. We began to rationalize our Hong Kong support operations in 2014. We realized a $1.6 million improvement in the operating loss in 2014 in our Asia Pacific operations and expect a similar improvement again in 2015. Presenting a unified brand point of view is important to our future growth plans, we feel strongly that we need to get our design teams under one roof and are relocating our women’s design team from Pasadena, California to Seattle. In addition, the lease of our current Seattle office where we have been for the last 11 years expires this year. As a result, we will be moving to the new headquarters in Seattle later this year. While these deals are quite a bit more expensive than in 2013 and our new larger space will require significant amount of investment, we believe this move is important part of our future growth plans. While operating margin in 2015 is expected to take a slight step backward due to the impact of approximately $2.2 million of preopening expense for Waikiki and approximately $2.6 million of expenses associated with the relocation of our headquarters, we believe that future years hold ample opportunity to deliver meaningful improvement in our operating margin. I’ll now turn the call over to Scott Grassmyer to discuss our consolidated highlights and plans for 2015. Scott?
Scott Grassmyer: Thanks, Terry. I would like to walk you through a selection of highlights from our consolidated results for the fourth quarter of fiscal 2014 and our guidance for fiscal 2015. Please refer to our press release issued earlier today for complete results for the fourth quarter and full fiscal year and additional information about our outlook for fiscal 2015. Our fourth quarter results reflect important positive trends in our business. For the fourth quarter of fiscal 2014, consolidated net sales rose 10% to $274 million and the fourth quarter consolidated gross margin on an adjusted basis improved slightly to 55.2% and there was a modest SG&A leverage gain. Royalties and other income as adjusted increased by $400,000 in the quarter, but increases at both Tommy Bahama and Lilly Pulitzer. Our consolidated operating margin as adjusted in the fourth quarter increased to 10.5% from 10.1% in the prior year period. For the fourth quarter of fiscal 2014, interest expense declined to $700,000 from $1 million last year. Our effective tax rate in the quarter also declined to 36.8% from 40.9% in the same period of the prior year with the improvement primarily due to improved foreign results. Adjusted EPS was 21% to $1.08 ahead of our previous issued guidance. GAAP EPS increased 5% to $0.96. Now to the balance sheet, our balance sheet remained strong and we have a solid capital structure to support our planned growth. We were pleased with our inventory levels which ended the year at $148 million compared to $144 million in the prior year. As of January 31, 2015, we had $109 million of borrowings outstanding and approximately $128 million of unused availability under our U.S. and U.K. revolving credit facilities. Our capital expenditures for fiscal 2014 were $50 million compared to $43 million in the prior year with expenditures primarily for new retail stores, IT initiatives, store remodeling and some investments in our facilities. I’d now like to walk you through our projections for fiscal 2015 where we expect to deliver strong results with solid sales and earnings growth. We expect to sell Ben Sherman in fiscal 2015. Therefore, we have excluded Ben Sherman results from our outlook for 2015 and from the 2014 results presented for comparison in this part of the call. For fiscal year 2015 which ends on January 30, 2016, we currently expect net sales of $965 million to $980 million. Adjusted earnings per share are expected to be between $3.45 and $3.60. On a comparable basis, fiscal 2014 sales were $920 million and adjusted EPS was $3.46. We expect interest expense in 2015 to be comparable to fiscal 2014 at $3.2 million. The effective tax rate for fiscal 2015 is expected to be approximately 39%. Capital expenditures are expected to be quite a bit higher in fiscal 2015 at approximately $70 million. Fiscal 2015 will include the typical expenditures associated with opening new retail stores and remodeling existing retail stores, as well as initiatives in information technology. In addition, capital expenditures estimates for 2015 include the relocation of the Tommy Bahama headquarters, additional distribution facility space for Lilly Pulitzer and the Tommy Bahama Waikiki restaurant-retail location. Of the $70 million we are estimating for capital expenditures in 2015, we anticipate approximately $13 million will be funded by landlords through tenant improvement allowance reimbursements. Before any impact of the potential sale of Ben Sherman, we expect to remain fairly neutral on a cash flow basis, but the cash flow from operations funding the heavy CapEx pace, the $12.5 million final Lilly Pulitzer earn out payment and dividends. Now I’ll move to our fiscal 2015 plans by operating group. Tommy Bahama expects good growth in fiscal 2015 with percentage net sales increases in the mid to high single digits driven by increases in our direct to consumer business. Gross margin is planned modestly higher and SG&A is expected to increase as a percentage of sales after absorbing the expenses Terry mentioned earlier. We expect Tommy Bahama's operating margin in fiscal 2015 to be slightly lower than fiscal 2014. Lilly Pulitzer is expected to continue to deliver strong top line growth while maintaining a solid operating margin as they continue to invest in people, systems and stores. For fiscal 2015, Lilly is planning a percentage net sales increase of 11% to 13% and an operating margin comparable to fiscal 2014. I have to turn your attention to Lanier Clothes. They delivered a good year in 2014 with a modest top line increase and an operating margin of 9.6%. For fiscal 2015, as a result of a major customer’s change in merchandising strategy, Lanier Clothes’ net sales are expected to be approximately $100 million and its operating margin is expect to decline to approximately 8.5%. Finally, the operating loss in our corporate and other segment is expected to increase by approximately $2 million. This is a good time to remind you of the impact of seasonality of Tommy Bahama and Lilly Pulitzer sales on our third quarter earnings. Because this quarter is a significantly smaller sales quarter than the first, second and fourth quarters, the fixed expense structure of our retail businesses results in a lower operating margin compared to other quarters. In addition, in fiscal 2015, the impact of both the Waikiki location and the new Tommy Bahama headquarters will be greatest in the third quarter. That’s a recap of our plans for the full year. I will now discuss some details for our plans for the first quarter of fiscal 2015. For the first quarter of fiscal 2015, we currently expect net sales of $250 million to $260 million. Adjusted earnings per share are expected to be between $1.15 and $1.25. On a comparable basis, sales were $243 million in the first quarter of fiscal 2014 and adjusted EPS was $1.19. As a reminder, these amounts exclude Ben Sherman. Before we take questions, also I want to mention that our board has declared a cash dividend of $0.25 per share representing a 19% increase from the dividend paid in the first quarter last year. And Shannon, we are now ready to take questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Ed Yruma with KeyBanc.
Ed Yruma: Hi. Congratulations on a good quarter and on taking the strategic step to look at Ben Sherman. I guess just a couple of quick ones. First, on Tommy, I know you said you’re going to deleverage a little bit on SG&A. Would you have done that without Waikiki and the headquarters and I guess I know you mentioned that there is a strong operating margin opportunity for longer term, how should we think about the Asia drag, I know you said it’s down $1.6 million in 2014, how much is it an aggregate and kind of how long until that business gets break-even?
Thomas Chubb: Okay. On the operating deleveraging Tommy Bahama, if I understand it, you are asking basically if we add back the impact of Waikiki and the office move, would we have deleveraged and –
Douglas Wood: Yeah, we would have some slight deleverage. We are close to $5 million on those two, just under $5 million on those two items. So that is certainly putting some downward pressure there. But, yes, we would have absent those.
Thomas Chubb: So we would add a slight deleverage.
Douglas Wood: Yeah, we should leverage a little bit.
Thomas Chubb: Yeah, positive leveraging.
Ed Yruma: Got it. And –
Thomas Chubb: And then the second question was about the extent of the Asia drag and I think we finished 2014 at –
Douglas Wood: It’s a little over $10 million.
Thomas Chubb: Well, it’s a little over $10 million and you got another $1.5 million plus that we expect to reduce that in 2015. As to the long term for Asia, Ed, we are working hard on restructuring the Hong Kong infrastructure that we’ve built at the beginning of that project and we will get some benefit from that in 2015 and then – but because the leasehold commitments and other longer term commitments, we won’t be able to complete all of that in 2015 and at the same time, we continue to focus on building the business in Asia. And I’ll let Terry and Doug comment a little further on that.
Terry Pillow: Yeah, Ed, this is Terry. As we’ve mentioned in the prepared remarks, we’ve been very pleased with Australia and quite honestly we’ve always said that we’re going to learn in Hong Kong market and the Japanese market, but I got to tell you, we were very pleased with our fourth quarter results with the learning that we reacted to this year, that we saw a significant increase in fourth quarter, which gives us encouragement to going forward that this can be and will be a very good market for us and as I said focusing on Japan primarily.
Ed Yruma: Got it. And maybe one final housekeeping question. I know you guys, have you lost a customer at Lanier, I think revenue is going to fall a little bit there and margins as well. Is that kind of a permanent shift? And I know you did a big linear program in 2014, was that – that customer that fell out, how do we think about kind of that business longer-term? Thank you.
Douglas Wood: Well, I think what we’ve got in Lanier Clothes is we’ve got a number of handful of customers that are in the $10 million to $15 million in annual sales there. So there are four or five customers that are pretty material to Lanier Clothes and if those guys make a major change in the merchandizing strategy, that can have an impact on Lanier Clothes. I think that’s exactly what happened this year. It’s not sort of the new customer, this is a customer that we’ve had for a long time and I wouldn’t say we lost the customer, but they have shifted their focus and that’s going to have a very significant impact on us in 2015. And the task for us in Lanier is to take the terrific skills they have in merchandizing, design, product development and then execution and find those places in the market where we can add value, we’ve got a lot of things in work, but we don’t think that we are going to see the benefit of those in 2015. So I think it’s still a healthy business and we are not thrilled about having a downturn in sales, but I don’t think it’s a long-term trend.
Ed Yruma: Got it. Thanks so much. Best of luck guys.
Thomas Chubb: Thanks a lot, Ed.
Douglas Wood: Thanks, Ed.
Operator: And we’ll take our next question from Rick Patel with Stephens Inc.
Rick Patel: Good afternoon everyone and I’ll add my congrats on the terrific end to the year.
Thomas Chubb: Thanks, Rick.
Rick Patel: Can you update us on the West Coast port issues, I know this is something that impacted numbers in the fourth quarter but do you expect that will continue as we think about the first quarter in spring as some of those backlogs are worked on? And then secondly can you just talk about the trend within Tommy Bahama by month throughout the fourth quarter. Terry, you mentioned that you had a strong start to the spring as well, any way to put that into context?
Thomas Chubb: Well, I’ll make a comment first about the West Coast port situation, Rick, and then let Terry and Doug elaborate on that further. But to the extent there is any impact on the first quarter, we’ve obviously baked that into our guidance. And if you want a little more detail, Doug, may be you can fill him in. But whatever it’s doing to us, it is in our guidance.
Douglas Wood: Yeah, I think the advantage that we had Rick was that while my operations team has been here 12 years ago and it happened before, and that took a lot of the corrective action that got us through fourth quarter not [indiscernible] we had to move a lot of product around, but also prepared us to first quarter real well. So we don’t expect to have any impact to first quarter and slight impact a little bit at the beginning of February and March is being brought in, but overall our business was able to flow basically without any impact.
Thomas Chubb: And then Rick jumping back to the fourth quarter and first quarter questions, we are glad you brought those up because as we said in our prepared comments, we were really proud of what we were able to accomplish as a company in the fourth quarter. And we think it’s really we are focusing on because it proves the strength of our business model where we are focused on driving business through the power of our brands, not through sort of promotional and discounting strategies. And if you look at what happened again, we had great comps in Tommy and Lilly while expanding gross margins and drove a 21% increase in year-over-year EPS. So we really think that’s worth bearing in on because that sort of model is a sustainable profitable growth model that can endure for a long, long time. It makes us feel very good about our future prospects. So it was a great fourth quarter. As Terry mentioned in Tommy Bahama, that’s continued into the first quarter and I may be let Terry give us in a minute a little flavor on some of the products that are working. It’s really been pretty steady since day one of the quarter and Lilly through the fourth quarter and into the first, business has been steadily strong at Tommy now. We still – we are only half way through the quarter, we got ways to go and a lot of business to do, but we feel good about where we are. Terry, you want to may be comment on some of the things that seem to be working well?
Terry Pillow: Yeah, Rick. Going into the fourth quarter, we knew that there was going to be some discounting as we talked about. We changed a lot of things about how we handle fourth quarter in cadence of our market material. But when you have a quarter like that, you can’t really point to one thing. I think you’d have to point to a lot of things that we did right, first the products that we shift and nearing the marketing to that and the in store which is all that mixed seem to come together very, very good in the fourth quarter to achieve those results. And as far as the first quarter, we did very similar marketing campaigns and everything, but then we’ve got some new products. We got a new shoe initiative both men’s and women’s that we have right now and are windows right now which we couldn’t be more pleased, and that’s additional business for us. We’ve had footwear, but we haven’t really put a focus on marketing. We just mailed a footwear exclusive mailer to our customers and that gives us encouragement. We focus on the category and there is a lot of other categories that we have businesses in right now that we haven’t really gotten to and women’s accessories is another one. So we have a business coming out of fourth quarter we were very happy with coming out of it and we will be more happy when we saw the results that we are achieving right now, and even this week as we continue to move along. So as Tom said, we got a long way to go but the team did a great job. We got great product, great marketing and great store visuals to get it done. So we are feeling pretty good right now.
Rick Patel: That’s great. Thanks for all the details. And then for Lilly Pulitzer, you put up a very healthy comp for Lilly despite going up against a pretty difficult compare. So what’s your degree of confidence that, that momentum can continue as you still face some pretty tough comparison in the first half of the year. And then as a follow-up, I know some of the initial ads with Target are kind of hitting right now, are you seeing any lift to the business whether it’s in storage or e-commerce as you see some of those advertisements go out there?
Thomas Chubb: Well, a couple of comments on Lilly. First of all, it was a terrific year for Lilly Pulitzer. It was one and even though the comparison as you say was relatively soft, it’s still a very, very healthy comp that they posted both for the fourth quarter and the full year. And again that was done with expanding gross margins and we really think that shows the strength of that brand. This is a full priced brand that drives business based on the connection that they have with the consumer and a great year for them. As we moved into fiscal 2015, February was actually a little bit soft for them and the first week or two of March was a bit soft, but then as we got into the middle of March second week or so, we had couple of items hit that were sort of truly spring, pink and blue, great prints. And then last week, we got into a big delivery that had lots of very spring colors and prints and we had our annual lunch at Lilly event which is on this past Saturday, big gift with purchase event. And it was the best lunch at Lilly event we’ve ever had. It was a record sales day for us on the e-com other than the flash sale days. And it was our first ever million-dollar retail day in Lilly Pulitzer. So like Tommy, got a long way to go but we are feeling pretty good about the quarter right now and the softness that we saw in February is obviously baked into our guidance at this point.
Rick Patel: Thanks very much and all the best with Ben Sherman.
Thomas Chubb: Okay. Thanks a lot, Rick.
Operator: And we’ll take our next question from Eric Beder with Wunderlich.
Thomas Chubb: Hi, Eric.
Eric Beder: Hey, I don’t know if I missed it. Did you say how many stores you’re going to open for Lilly this year?
Thomas Chubb: I can’t remember whether we said or not though, but it’s about six this year is what we are expecting.
Eric Beder: Okay, that’s pretty high. Do you expect to kind of…
Thomas Chubb: It’s a little bit higher than where we’ve been but we are excited about that.
Eric Beder: In terms of Tommy Bahama, what are going to be some of the advantages of moving the women’s business into Seattle in terms of [indiscernible] and how is the outlet business doing for Tommy Bahama, how did that do in Q4?
Thomas Chubb: I’ll let Terry and Doug amplify these comments in a second. But in my mind, this women's move is pretty pivotal and its actually part of a bigger move, Eric. I think you are well aware that we hired a first ever Head of Design for all of Tommy Bahama product during 2014 and we feel very strongly that is we have become a direct to consumer led brand. We still do the wholesale but our primary business is retail and our own e-commerce, and is very important as Terry said that we present a unified point of view. So part of that is having the single head of design that’s running men’s design, women’s, footwear accessories the whole thing. And the second piece of it is that you need to get those teams collocated and the big piece that was missing from Seattle was the women’s teams. So we had a good opportunity and the timing was right and we are in the process of moving that to Seattle. Terry, you want to amplify that a bit maybe?
Terry Pillow: Absolutely. Thanks, Eric. As Tom mentioned, we hired a head of design for the total company men’s business, women’s everything. We also hired a head of women’s design recently. When we did that, we’ve always known that having that women’s group down in Pasadena was very difficult to keep total point of view to both the collections plus leveraging the print library. I mean we’ve got a tremendous amount of asset and artwork and the art department is here in Seattle and communication back and forth between Pasadena was just more cumbersome that it needed to be. So this is a – the leverage we are going to get, and we are already getting because we’ve already relocated some of these positive to Seattle, it’s already showing great results and it will continue to grow. As we’ve all said too, that our business right now is approximately 30% women’s and we’ve got a goal to get it to 50%. We just thought that we’d better served getting it here where we could focus on it and not have to run back and forth to Pasadena to do it. On the other question Eric, I’m going to let Doug talk a little bit about that.
Doug Wood: And Eric, you know we use our outlets to dispose of unsold inventory from our full price stores and also out at e-com and our outlets business is where we want to be right now. We are actually not even looking to expand outlet stores this year and the reason why we are not doing that is that, we changed some of our strategy on our buying tactics, but also we’ve been able to leverage our flash site, sales site that we did a couple of times in 2014 and we are going to do again in 2015 to get through any of the unsold inventory that we’ve had. So right now we are happy with where we are in the outlets.
Eric Beder: And staying on [indiscernible].
Doug Wood: Okay. of course I just completely lost my train of thought.
Eric Beder: Okay. Thank you.
Terry Pillow: Thanks, Eric.
Douglas Wood: Thanks.
Thomas Chubb: Thanks, Eric.
Operator: [Operator Instructions] And we will take our next question from Pamela Quintiliano with SunTrust.
Pamela Quintiliano: Thanks. Congratulations on really great execution in a really challenging environment.
Thomas Chubb: Thank you, Pam.
Pamela Quintiliano: So, I have a few questions as well. Starting I guess with some of the housekeeping, when I think about FX, just how do I think about that with 4Q and into 1Q and for the full year?
Thomas Chubb: Scott, do you want to fuel that one?
Scott Grassmyer: Yeah, it kind of balances out, we are losing money in most of our foreign jurisdictions. The earnings translation piece actually it can help you a little bit when the dollar is getting stronger, however in this foreign markets the goods are purchased in U.S. dollars. So you have to increase your purchase price in that local market to keep your same margin and puts – can put a little strain on the top line. So I think we kind of neutralize out to where it’s not a big impact on a net basis to us especially compared to some peers in our industry to have much bigger and much stronger international businesses right now.
Pamela Quintiliano: Okay. And then when I think about your commentary on Lilly and the softness there, and the weather has obviously been an issue for a lot of retailers out there in a big topic this earnings season. Was part of that due to weather and can you talk also even though Tommy, it sounds like it had a great start to the quarter, do you think there was any weather impact there as well?
Thomas Chubb: Well, I think – the short answer is yes in both cases. Tommy’s business overall has been very strong through the first part of the first quarter. But I think they gave up some business as a result of weather. I mean we had days where stores were closed and – a fair number of them. So on one hand, business has been good even with the weather. On the other hand, I do think there has been some impact. As to Lilly Pulitzer, the team there like the team at Tommy doesn’t like to complain about the weather, they like to focus on the controllable. And if you ask anybody at Lilly, you will never get a whining about the weather as being a story. But when you look at their store footprint weather heavily concentrated on the East Coast with a lot of other stores in the mid-Atlantic and North. I don’t think there is any question that they have been impacted by weather and I do think that was part of the February softness, but the key to us is really that is we get into this lunch at Lilly time which was last Saturday and then head into Easter and graduation time and mother’s day and those types of events, that’s really when we want to see the business strong. And from what we’ve seen over the last couple of weeks, we are feeling pretty optimistic. Like I said, lunch at Lilly last Saturday was absolutely terrific. Just off the chart it’s good and it’s continued into this week. They’ve been strong. In fact the day after lunch at Lilly on Sunday when there was no gift with purchase going on and you would think there might be sort of a hangover, but actually you had a really strong day on Sunday as well.
Pamela Quintiliano: So that’s great to hear. And so it sounds like the inventories for you given the life of your product, it’s not as much an issue necessarily that we should be concerned about right?
Thomas Chubb: [indiscernible]
Terry Pillow: Yeah, and we went in very clean.
Thomas Chubb: Yeah.
A –Terry Pillow: We’ve entered FY15 in very good inventory shape also.
Thomas Chubb: Yeah. And then Lilly is just terrific at managing inventory and that got good – a little bit of residue that they end up with. They’ve got excellent vehicles for clearing, primarily the flash sales that you are familiar with.
Pamela Quintiliano: Okay. And then a few other questions for you. Actually for Terry, can you talk more about Japan and what’s driving the improvement there and then just a little bit about 4Q, the women’s performance there and how you felt it went?
Terry Pillow: We went over last year Pamela and looked at the market. We’ve always said that we are going to get learning from what we do and we clearly made weight adjustments in our inventory over there. The Japanese markets make very hard turn to spring and they make very hard turn in fall and basically and – so we beat up – made some product specifically probably about 30% to 40% of the inventory that we had going-in in both men’s and women’s of Japan in the fourth quarter was products that we did just because we knew that and it worked. And the good news is, we can’t just assume that what works in America just can’t – that is a different market and we’ve got great merchants over there now. We hired a new Head Merchant who is helping us with that. And we are going – that’s the reason I said in the comments that it’s going to be a strong market for us. We are going to figure this out and we saw in third quarter beginning and into fourth quarter we saw the results of what we’ve done. So we are feeling pretty – very good about Japan right now. I’m sorry what’s your other question Pamela?
Pamela Quintiliano: Women’s – just how the women’s in 4Q? I know we spent a lot of time talking about the move with women’s and consolidating under one roof, but [indiscernible]?
Terry Pillow: We will continue to be very pleased with our women’s business. Dresses were very strong as we started early into the quarter and so far with the new head of design that we’ve brought on and the new head of total design, the products we are working on and you will see – start to see that in the fall and holiday this year we are very pleased. And the fact that I mentioned earlier the shoe thing we’ve done that that are in the window right now and I encourage all of you to get these relaxology shoes, they're very comfortable. We’ve seen not only the men’s and women’s has been strong are as strong as the men’s. So we know that when we deliver the correct product for women’s that shoe response to it. So we’ve got a lot of work to do and we are going to get it done and continue to see. And a lot of business we are seeing in the first quarter is being driven by another very strong women’s assortment delivery. And as we look forward to mother’s day and Easter, you’re right, the weather has been a little bit difficult, but it’s been that strong so far. We are really looking forward to what is going to happen when the weather turns for us.
Pamela Quintiliano: That’s great to hear and then I’m just try to squeeze in the last one, I don’t know if you are going to answer or not. I'm warning you in advance with it. Why now with the decision to sell Ben. Obviously it's been talked about for a while. And then just what does that imply about your appetite for potential acquisitions going forward?
Thomas Chubb: Well, the reason for now is that the work that the team at Ben Sherman did sort of starting in ’13 and then they executed in ’14 and we saw significant improvement in the business at all levels top line, bottom line, comp store sales. Came into ’15 with good momentum and we think that makes Ben Sherman now an attractive acquisition target, where a year ago 18 months ago, it simply wasn’t. So the reason for now is because we think it’s an attractive acquisition target. And when you look at it, Tommy and Lilly have set a high bar for expectations within our company and we think that it makes sense strategically for us to sell Ben Sherman. We think we will be able to find a good pool of potential buyers and find a good partner for them going forward, and it does create some bandwidth for us. It opens up some space for us.
Pamela Quintiliano: Well, thank you for answering all my questions. Lot of excitement going on, so best of luck.
Terry Pillow: Thanks, Pamela.
Thomas Chubb: Thank you, Pam.
Operator: And we’ll take a follow-up from Eric Beder with Wunderlich.
Eric Beder: Now I remember the question I want to ask.
Thomas Chubb: [indiscernible].
Eric Beder: On the wholesale business, so last year if I remember correctly you had one of your customers in Q1 cut back in their wholesale business after a very aggressive rollout of it. What is going on in wholesale right now for Tommy Bahama and Lilly?
Thomas Chubb: Well, I’ll let Terry and Doug comment on Tommy in just a second, but overall Eric is, a company at Oxford, our strategy is to focus on our direct to consumer businesses first and then support them with strategic wholesale. So where it makes sense within our overall brand strategy is to do wholesale, we are going to do it. It’s still a great vehicle for getting some incremental contribution and it’s a great customer acquisition vehicle. So we like wholesale, but we never want to do it when it’s inconsistent with our core brand strategies. And what that means is that it’s not going to be a big growth vehicle for us. We are not walking away from it by any stretch, but it’s also not going to be the big driver of growth. So with that said, I think in Lilly Pulitzer we are planning flat wholesale this year and in Tommy Bahama I’ll let Terry fill in with his comments.
Terry Pillow: Yeah, Eric. As you all know, majority of our wholesale business is men’s and we’ve got happier those bookings in right now. We are opening up our holiday line in a couple of weeks, but we’re looking at that men’s business flat to slightly may be up as we go into the holiday season. But the categories that we haven’t been in the wholesale business, as Tom said, we like the wholesale business but I mentioned the success we are having in footwear, that’s not only in our own stores that’s a new business for us that we’ve got a little bit of traction early and it’s now going to be significant 2015. But we think beyond that it can be and also in women’s, we are getting some wholesale traction new customers that are coming to us that we’ve had significant men’s businesses with over the years that are coming to us and saying, well, we have a Tommy Bahama customer in our store and can we – as Tom said, we’re going to crawl, walk, run. We're going to pursue that women's sportswear business judiciously but we have the opportunity. The wholesale business has been a great business and we’ve got great wholesale partners as you will know. So we are not trying to make the wholesale business [indiscernible].
Eric Beder: Great. Thank you.
Thomas Chubb: Thanks, Eric.
Operator: And ladies and gentlemen with no further questions in queue, I would like to turn the conference back over to Mr. Tom Chubb for any closing remarks.
Thomas Chubb: Thank you again for your time this afternoon. We very much appreciate your interest. We are excited about our business opportunities for fiscal 2015 and beyond, and we will talk to you in a couple of months. Thanks.
Operator: And ladies and gentlemen, that does conclude today’s conference. We do thank you for your participation. You may now disconnect. Have a great rest of your day.